Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Pyxis Tankers Conference Call to Discuss the Financial Results for the First Quarter [Technical Difficulty]. As a reminder, today's call is being recorded. Additionally, a live webcast for today's conference call and an accompanying presentation is available on the Pyxis Tankers website, which is www.pyxistankers.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Henry Williams, Chief Financial Officer. I would now like to introduce Pyxis Tankers' Chief Executive Officer, Eddie Valentis. Please go ahead sir.
Eddie Valentis: Thank you, operator. Good morning, everyone and thank you for joining our call for the three months results ended March 31, 2020. I hope you're all listening to this presentation from a safe place, and you and your loved ones have not been affected by this terrible pandemic, which we hope will soon be behind us. Before starting, please let me draw your attention to some important legal notifications on slide 2 that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to slide 3. Our results for the first quarter of 2020 reflected an improvement from an operating perspective over the comparable period of 2019 and completion of the sale of our oldest vessel: the non-eco 2006 built Pyxis Delta. In Q1 2020, we generated time charter equivalent revenues of $5 million almost 4% higher than the same period in 2019. We had a net loss of $1.2 million or $0.06 per share for the three months ended March 31, 2020 both improvements over the same period in the prior year. Our adjusted EBITDA for Q1 more than doubled to $1.2 million. The first five months of 2020, including the first quarter represented a series of unprecedented global events led by the spread of COVID-19 and extreme volatility in the crude oil and refined petroleum products markets. Our operating results for the first quarter of 2020 reflected the stability and contribution from the time charters we had previously entered into during 2019 for our medium-range product tankers, as well as continued cost discipline. The average daily time charter equivalent for our MRs was approximately $15,400 during Q1. As of June 1st, 100% of our available days of our MRs in the second quarter of 2020 were booked at an average gross rate of $15,700. While the second half of 2020 should be a challenging chartering environment, we are positive on the long-term outlook for the product tanker sector and our company. Please turn to slide 4, for information on our fleet and current employment activities. Later this month, the Pyxis Epsilon will undergo her first special survey, which will include the installation of U.S. Coast Guard-approved Ballast Water Treatment System. Also, our small tankers will continue to operate in the spot market, until they undertake their 10th-year special surveys in the third quarter of 2020. As vessels are redelivered, we will continue to utilize our mixed chartering strategy of time and spot charters. Please turn to slide 6 for an update of the product tanker market. Since January 2020, the product tanker market has shown extreme volatility. Let me now touch on a few of these major factors and events. After a reasonable start to the New Year, the spread of COVID-19 inflicted a huge toll on human life economic conditions and the way of life worldwide. Dramatically, lower personal and commercial activities resulted in a huge decline in demand for petroleum products, especially transportation fuels such as, diesel, gasoline and jet fuel. At the same time, excess oil production was obtained globally led by members of OPEC+. As spring unfolded, prices for crude oil -- products rapidly collapsed setting up a steep forward curve or contango. Speculative trading activity combined with port congestion and onshore storage constraints caused incremental demand for floating storage mainly for crude oil and transportation fuel cargoes, which resulted in a spike in charter rates primarily in the spot market. Starting the 1st of May, substantial oil production curtailments by leading producing nations such as Saudi Arabia were met by the start of gradual recoveries in many major economies. Improved public safety for the prevention of COVID-19 and record-setting government and central bank stimulus programs have been instrumental in building confidence and providing stability. With a return of personal and business activities, inventory drawdowns started to occur during May. Destocking of refined products has resulted in lower demand for seaborne cargoes and a buildup of tonnage in the open market. Consequently, charter rate started falling significantly, which indicated the exceptional rate environment was over. Turning to slide 7, overall, we expect the second half of 2020 to provide added uncertainty. The global economic recovery should be bumpy as the future developments of COVID-19 further cloud the picture as we collectively define the new normal. A rebound of global economic growth in 2021 based on IMF-forecasted GDP growth of 5.8% will be a blessing. A return of solid consumption of refined petroleum products and modest ton-mile expansion from the changing refinery landscape should provide added support to the product tanker sector. Moving to slide 8. The supply outlook for MR2s look better than six months ago. The order book continues to decline, and recently a leading industry source estimated the order book at 5.9% out of a worldwide fleet of over 1,700 vessels. While a reasonable number of MRs are scheduled for delivery in the remainder of 2020, new ordering activity continues to be low. New advances in ship and engine designs, a broader selection of fuels and the lingering debate surrounding scrubbers complicates the investment decision for owners. Recent industry resources estimated that new vessel deliveries were running about 60 days behind schedule due to the impact of the virus on shipyard personnel and the supply chain. Demolitions should increase as 6.2% of the global fleet or 108 MRs are 20 years or older and in light of the impact of the new environmental regulations on older less-efficient vessels. Lastly, cost-effective capital continues to be scarce further limiting new orders. Consequently, we believe net fleet growth for MRs should be around 2% this year. Turning to slide nine. MR2 asset prices have increased over the last few years, especially for younger eco-efficient tonnage, which are currently a modest premium to the 10-year average. There continues to be attractive opportunities to acquire secondhand tankers at reasonable prices and capture the potential upward movement of charter rates. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's start with our unaudit results for the three months ended March 31, 2020 on slide 11. Our time charter equivalent revenues for Q1 2020, which we define as voyage revenues minus voyage-related costs and commissions were $5 million, an increase of 3.8% from the same period in 2019, primarily as a result of higher rates and better utilization despite the sale of the Pyxis Delta early in the quarter. In Q1 2020, our daily TCE rate fleet-wide was over $11,900, a 12% improvement over the comparable 2019 period and utilization improved 370 basis points to 91.4%. The small tankers continue to negatively affect our results. Turning to slide 12. We incurred a net loss of $1.2 million for the three months ended March 31, 2020 or $0.06 basic and diluted loss per share based upon 21.4 million weighted average shares outstanding, compared to a higher net loss of $2.3 million or $0.11 basic and diluted loss per share based on a slightly lower share count. Overall, lower cost reflected the elimination of the Pyxis Delta during Q1 2020. Better TCE revenues combined with continued cost discipline, resulted in a $700,000 improvement of adjusted EBITDA to $1.2 million in the most recent quarter. Please turn to slide 13, which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics relate to a single vessel and one reporting period can have disproportionate effects on the total fleet operating results. Focusing on the quarter ended March 2020, we'd like to point out three key takeaways. The TCE for our three eco-MRs averaged approximately $15,400 per day. The average TCE for our small tankers improved nicely to about $5,600 a day with better utilization in the spot market. And fleet-wide daily vessel operating expenses were less than $5,700 a day, a 6% improvement over Q1 of 2019. Please turn to slide 14 to review our capitalization at March 31, 2020. At quarter close, our consolidated leverage ratio was on par with many other publicly traded tanker companies as net funded debt stood at 60% of total capitalization. No balloon payments are due for another 2.25 years. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thank you, Henry. The second half of 2020 will be challenging because of continued volatile chartering conditions within the context of unpredictable global economic recovery and the uncertain developments of the COVID-19 pandemic. We continue to be optimistic in the long term, given the fundamental supply and demand outlook for our industry. MRs will continue to build a workforce within the product banking sector, providing stability of cash flows and solid asset values. We appreciate your interest in Pyxis Tankers and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe, be well.
End of Q&A: Thank you, very much. That does conclude the conference for today. Thank you for participating. You may all disconnect.